Operator: Good morning, and welcome to Constellation Energy Group's Fourth Quarter and Full-Year 2010 Earnings Conference Call. [Operator Instructions] I will now turn the meeting over to the Director of Investor Relations for Constellation, Sandra Brummitt. Sandra, you may begin.
Sandra Brummitt: Thank you. Welcome to Constellation Energy's 2010 Year End Earnings Call. We appreciate you being with us this morning. With me here in Baltimore today are Mayo Shattuck, Chairman, President and CEO; and Jack Thayer, Senior Vice President and CFO. Mayo and Jack will provide you their perspective on our performance for the quarter and the year, as well as our expectations for the future. Following their remarks, we'll take your questions. Please turn your attention to Slide 2, a reminder that our comments today will include forward-looking statements, which are subject to certain risks and uncertainties. For a complete discussion of these risks, we encourage you to read our documents on file with the SEC. Our presentation is being webcast and the slides are available on our website, which you can access at www.constellation.com under Investor Relations. On Slide 3, you will notice we will use non-GAAP financial measures in this presentation to help you understand our operating performance. We have attached an appendix to the charts on the website reconciling non-GAAP measures to GAAP measures. With that, I would like to turn the time over to Mayo.
Mayo Shattuck: Thank you, Sandra, and welcome to your new role. Good morning, everyone, and thank you for joining us today. This morning, we reported full-year adjusted earnings of $3.06 per share, which includes a non-cash mark-to-market timing loss of $0.23 per share. Including one-time items, Constellation reported a full-year GAAP loss of $4.90 per share, primarily driven by impairment charges on our CENG and UniStar investments. Importantly, the one-time items resulted in a positive cash inflow of approximately $240 million. Looking forward, our guidance ranges remained at the previously disclosed $3.10 to $3.40 per share for 2011, and $2.40 to $2.70 per share for 2012. Our 2013 earnings estimate continues to be north of $3 per share. Jack will discuss our 2010 results and earnings outlook in more detail later in the presentation. In 2010, Constellation performed very well, completing all of the strategic initiatives we announced at the end of 2009. We strengthened and grew customer relationships, invested in physical generation assets at attractive prices and improved system reliability and corporate-wide efficiency. We believe the successful completion of these initiatives lays a solid foundation for perspective growth of our customer-centric business. In February of last year, we spoke with you about our plan to deploy more than $1 billion to acquire Generation. In less than 12 months, we completed our goal by purchasing combined cycle facilities in ERCOT and NEPOOL at attractive prices. We also completed construction and are now operating our Hillabee combined cycle plant in Alabama and the Criterion wind project in Western Maryland. Collectively, through acquisitions and investments, we have added more than 4,300 megawatts of physical generation capacity to our portfolio, bringing the total installed capacity of our generation fleet to approximately 12,000 megawatts. We are expanding the bundle of products and solutions we offer customers and are leveraging technology to do so. To further strengthen our Demand Response business, we acquired CPower, increasing our managed demand response portfolio to over 1,500 megawatts. We are now the second largest demand response provider in the commercial and industrial competitive markets. We expanded our Solar business, selling 36 megawatts of on-site solar projects, which significantly exceeded our target. These projects include long-term power purchase agreements to customers across the country, including Benjamin Moore and the Denver International Airport. Our regulated electric and gas utility, BGE had another strong year in 2010, significantly exceeding targets for safety, customer satisfaction and financial performance. While Maryland continues to be ranked by many as a challenging jurisdiction, our recent experience with the Maryland PSC during the smart grid review and rate case suggests a workable environment for our utility. During the year, BGE received approval for its smart grid initiative and is investing the proceeds of the $200 million federal stimulus grant to partially fund this investment. BGE also received its summary of electric and gas distribution rate order from the Maryland PSC. Notably, it was our first electric rate case in more than 17 years. In summary, as I reflect on this past year, I'm proud of what Constellation and its employees have been able to achieve. We invested organically in through acquisitions at a trough in the economic cycle to grow our customer-driven business and leverage our earnings exposure to rising power prices. Importantly, we provided investors with transparency to more easily monitor our results. We look forward to a strong 2011, with continued growth in each of our customer-driven business segments. Now let me ask you to turn to Slide 5, where I'll discuss the outlook for each of our key business segments. BGE. BGE continues to invest in safety and reliability and is an industry leader in operating efficiency. During the year, Platts recognized the BGE Smart Energy Savers program as the Energy Efficiency Program of the Year, another recognition in a string of industry awards for our Energy Efficiency, Demand Response and Smart Grid initiatives. BGE's Smart Grid initiative is designed to deliver significant customer and operational benefits, including more than $2.5 billion worth of savings over the life of the project. BGE will install over 2 million meters throughout its service territory beginning later this year. Over the next five years, BGE's earnings will be driven by four key factors. These include rate case filings on a more regular basis, robust infrastructure investments yielding rate-based growth, efficient implementation of our Smart Grid initiative and continued cost savings. As I mentioned previously during the year, we received the summary order from the PSE on our combined electric and gas rate case, which allows for a modest increase in rates. BGE plans to file more frequent rate cases beginning in 2011. This will promote a measured increase in distribution rates to pay for system improvements and reduce regulatory lag. Importantly, this is occurring during a time of declining total energy bills in Maryland. BGE plans to invest over $3 billion of capital over the next five years to further improve system reliability and quality of service. The bulk of the investment will be for core electric and gas distribution infrastructure, with the remainder comprised of investments in transmission in BGE Smart Grid, PeakRewards and conservation programs. As we think about the returns for these investments, more than half of this capital will be subject to traditional rate recovery. Roughly 1/3 will be subject to track our recovery, and the balance will be subject to regulated asset recovery. This capital spending should grow the utilities rate base and its earnings, as we provide improved reliability and service for BGE customers. Lastly, as you can see on this graph, BGE is a low-cost provider. Since 2001, BGE's operations and maintenance cost per customer has consistently ranked in the first quartile of approximately 100 utilities, about 20% lower than the average of its peer group. In 2010, BGE employees overwhelmingly voted to remain union free and maintain a productive, flexible and adaptable workforce. We believe this organizational flexibility promotes the cost excellence and employee engagement that makes BGE an industry leader. Now let's turn to Slide 6 for a review of the Generation business. In 2010, we added more than 4,300 megawatts of gas and wind-based generating capacity. We acquired assets at very attractive prices in the current depressed asset and commodity price environment. Each of our acquisitions should drive significant earnings, cash flows and investment returns as commodity prices recover. Constellation currently maintains an environmentally advantaged fleet of assets, with more than 90% of our total output coming from nuclear, gas and coal plants that have completed scrubber projects. Most of these environmental projects were completed to comply with the Maryland Healthy Air Act, one of the most stringent air emission laws in the country. As new federal environmental regulations take effect, these completed environmental projects positioned us well, relative to other coal generators who have not yet installed control equipment. We expect companies will have to deal with the decision of investing in costly retrofits, repowering to natural gas or preparing to retire assets in the near future. As you will recall, our earnings forecasts are based upon observable liquid market prices. We believe the current forward price curve does not reflect the full extent of the potential impacts from new EPA policies. Our fundamental outlook anticipates spark spread, heat rate and spark spread improvement. Beginning in 2012, our generation portfolio is less hedged than many of our peers. This hedged profile reflects our belief that prices will recover allowing our fleet to capture potential upside. Lastly, as we think about future growth opportunities, Constellation will continue to pursue asset acquisitions in core and new energy markets. We expect to fund these transactions in a credit-neutral manner, which may include the use of proceeds from the sale of less strategic assets currently in our portfolio. Recent examples of such activity include the sale of our Mammoth Lakes facility and the pending sale of our Quail Run facility. We expect future additions to our fleet to provide even greater collateral efficiencies for our NewEnergy segment as power markets recover. Now let's go to Slide 7 for a review of our NewEnergy business. At NewEnergy, we're working diligently to provide a best-in-class customer experience. We are leveraging technology to broaden the range of products and services that we offer customers. In addition to the solar installations and added demand response capabilities I referenced at the start, we also launched VirtuWatt, a unique combination of hardware and online applications that allows customers to manage and optimize electricity usage in realtime. We believe these products are key elements of our long-term strategy to strengthen customer relationships beyond the pure commodity sale. As we look forward, we expect our business to increase the amount of electric and gas load we serve. We will accomplish this by evaluating and targeting new markets and customer segments. For example, in 2010, we entered the retail residential market in Maryland and New Jersey. With limited marketing, we have already acquired more than 80,000 customers. We see opportunities for further growth. And as Jack will discuss, we expect to invest additional marketing dollars over the next few years to expand in the new regions and increase the number of mass-market customers we serve. We have streamlined our technology platform, improved throughput and operating leverage to support growth. We also restructured our sales force to create one unified team that sells the full range of solutions that we can provide to our customers. Supporting this team are products experts who are focused on finding the right solutions for our customers. Underpinning all of these efforts is our industry-leading physical risk and portfolio management capabilities. Now if you turn to Slide 8. At NewEnergy, we are increasing the number of products and services that we sell to each of our customers. We believe that the unification of our sales force will help us achieve this goal, as we advise customers on their efforts to buy, manage and use energy. As an example of an evolving customer relationship, we partnered with the City of Rochester in February 2006, to provide over 50,000-megawatt hours of power to the city each year. Over time, we help them with their ongoing efforts to reduce the use of fossil fuels and exceed state standards for use of renewable energy sources by providing them Green-e certified renewable energy. We also installed demand response solutions across nine buildings including City Hall. We're exploring other energy efficiency measures in several other buildings using available funds. Our relationship with Benjamin Moore is another example of our ability to provide our customers with comprehensive integrated solutions. We supply power to their facilities in New York and New Jersey and the use of our VirtuWatt technology. In December, we installed a solar facility that is expected to generate approximately 70% of electricity needs for their product development center and testing laboratories in Flanders, New Jersey. This is one of the largest solar facilities in the state, and we own and maintain the system, selling the output to the company under 20-year solar power purchase agreement. Let me now turn to a discussion of the competitive markets that enabled customer choice, if you turn to Slide 9. We're pleased to see so many of the promised benefits of a market-based approach to energy policy begin to materialize across the country. In Maryland, more customers are shopping, with nearly 46% of the total energy consumed in the state selected from a competitive energy supplier. These customers are benefiting from the sharp decline in wholesale and retail power prices, achieving additional monthly savings. Other states like Pennsylvania, Illinois and Ohio are seeing the benefits of the competitive market framework. We hope to see policymakers of states like Michigan, Arizona and California also embrace the competitive market model, so that the benefits can be expanded by thousands of additional customers across the country, providing additional opportunities for our competitive businesses. Constellation, like many of our peers, strongly supports the competitive market design including capacity markets and specifically the Reliability Pricing Model or RPM. The function of the RPM is to produce an effective and transparent market that promotes investment in new generation and reliability of infrastructure. It also creates incentives for major investments in new Smart Grid technology and new market programs that foster efficiency, conservation, reliability and consumer benefits, all of which avoid the need and cost to build new generation. Although there is opportunity for improvement, since its implementation in 2007, RPM has produced a net increase in available capacity of almost 18,000 megawatts equivalent to approximately 12% of the total capacity in the region today. This includes capacity provided from Generation, Energy Efficiency and Demand Response. In the face of such positive competitive trends, market improvements and a solid reliability picture, we are deeply concerned by the efforts of the Maryland PSC and the New Jersey Legislature to require the construction of new, unnecessary generation, whose cost is to be socialized across customer utility bills. While some near-term increases in jobs may result, the long-term impacts would include higher costs for customers and a substantial reduction in business development and jobs in these states. Constellation will vigorously defend the competitive markets, as evidenced by our work with P3, PJM Power Providers, where we are appealing a New Jersey matter to fork. We worked diligently with the complete coalition and others to continue to explain the policymakers, the significant value of competitive markets for customers and the severe unintended consequences to what appear to be well-intentioned, but ultimately misguided and risk-increasing policy proposals. Now I'd like to turn the presentation over to Jack for more detailed review of our financial results and forecasts.
Jonathan Thayer: Thank you, Mayo, and I'm on Slide 10. As Mayo mentioned, full-year 2010 adjusted earnings were $3.06 per share. As you may recall, our adjusted earnings include non-cash mark-to-market gains and losses that service hedges in customer and generation positions. This past year, we recorded a mark-to-market loss of approximately $0.23 per share, due in part to steep changes in commodity prices, in particular, natural gas. Excluding these mark-to-market losses, our adjusted earnings would've been $3.29 per share in the upper end of our guidance range. Looking at our results by segment, BGE reported adjusted earnings of $0.69 per share, down from $0.80 per share in 2009. This decrease was due to the impact of higher storm-related expenses and inflation, partially offset by lower bad debt expense and higher transmission revenues. Our Generation segment reported adjusted earnings of $1.25 per share, down from $2.11 per share in 2009. This decline was primarily the result of the sale of approximately 50% of our nuclear assets at the end of 2009. Our NewEnergy segment reported adjusted earnings of $0.54 per share in 2010, improving $0.08 per share as compared to 2009. This improvement is primarily the result of improved profitability in our Power business and greater upstream gas production. Turning to Slide 11. Similar to other utilities, BGE is currently in a growth phase, investing considerable capital in technology, infrastructure and efficiency projects. Over the next three years, BGE's average rate base is projected to grow to approximately $4.8 billion, representing a 28% increase over our current rate base. We are investing capital to improve system reliability and quality of service for BGE's customers. We expect to file rate cases in a more frequent manner, reducing regulatory lag and driving improved earnings. With regards to the implementation of our smart meters and our overall Smart Grid initiative, these investments will be accounted for, as regulatory assets with cash recovery received as benefits are demonstrated. Let us now turn to our review of our earnings outlook for our Generation segment. Turning to Slide 12. As Mayo mentioned and as you can see on the slide, our generation assets are less hedged than many of our peers. Our fleet is 59% hedged for 2012, and we feel comfortable with this profile based upon our expectations for a widening of dark spreads and heat rates. This posture is working well, as our forecast has improved considerably from this positioning as power prices have risen. In addition, this slide now includes our recently acquired Boston Generating assets. These assets should contribute approximately $80 million to $100 million of EBITDA per year. An important element of our generation earnings outlook is capacity revenues. We continue to view our PJM fleet and their associated capacity revenues as an important foundation of stability to our earnings and cash flows. As you can see, a significant portion of our total unhedged gross margin is driven by these payments, which were realized into earnings regardless of how commodity prices fluctuate. While capacity payments have been discussed, in conjunction with the Maryland and New Jersey initiatives, the effect of capacity prices from these initiatives is not yet known. Recently, PJM released the planning parameters for the 2014 and 2015 auction to be held this May. We do see potential downside to the clearing prices for the zones in which our plants operate. Before we move on to a review of our NewEnergy segment, I would like to highlight that included in our Generation segment, our tolling arrangements with four plants. We entered into these contracts when forward heat rates and power prices were at much higher levels. These contracts have remaining durations of about five years, after which the negative earnings drag will cease. As we move forward, we plan to acquire physical generating assets to replace the output generated from these tolling arrangements. However, to the extent there are economic opportunities to contract for long-term power, with generation counter-parties, we will continue to do so. Let us now turn to Slide 13 to review earnings of our NewEnergy segment. This is a slide we introduced to you last year that now provides the expected earnings contribution of our NewEnergy segment through 2013. Looking at individual lines of business, our customer power and gas results corresponds to the load we plan to serve through our core customer-facing activities. These are characterized by higher retention rates in retail and predictable opportunities for wholesale utility auctions. As of year-end, we had already contracted for approximately 74% of 2011 and 32% of 2012 load volumes, creating a stable base of predictability upon which to further grow. Beginning in 2012, our gross margin estimates for this operation increased, reflecting additional electric volumes from new market opportunities and our growing mass-market Retail business. Our upstream gas operation owns properties that produce gas, oil and other distillates. The proven gas reserves from these fields provide collateral efficient fuel hedges for our natural gas generation fleet. Similar to our generation outlook, this operation is influenced by changes in commodity prices. The gross margin we are forecasting from our upstream gas operation has decreased, due to lower gas prices, coupled with the related decrease in expected drilling and production rates. As we've discussed in the past, our sales force is increasingly focused on providing our customers with other energy-related products and services beyond the commodity sale. These activities are comprised of solar projects, Energy Efficiency activities and Demand Response management. We have adjusted our forecast to include the positive impact of our CPower acquisition and the more than offsetting impact of a longer solution sales cycle. The net result is a move of approximately $10 million worth of margin that was previously forecasted to realize in 2011 to 2012. We continue to be confident in the growth expectations for this business. We've spoken about the scalability of the NewEnergy platform and our efforts to drive added efficiencies and reduced cost. We're enjoying considerable success in this front. However, as compared to previous estimates, the operating expenses have increased by $30 million to $40 million. As you will recall, we've discussed with you the possibility of expanding to serve residential customers. We're moving forward with this initiative and are now including additional investment dollars to fund the added upfront marketing expenses needed to grow our mass marketing activities to scale. Importantly by 2013, we expect to see significant gross margin and profitability contribution from these efforts. This increased marketing spend, and to a lesser degree, the operating expenses related to the CPower acquisition are what is driving the change in operating expenses. Turning to Slide 14. Before I discuss our earnings guidance, I do want to highlight the successful debt offering that we completed during the fourth quarter. We issued $550 million of 5.15% notes due in 2020. We used approximately $215 million of the proceeds to prepay the remainder of our 7% notes due in 2012. We also used approximately $50 million to pre-fund certain pension liabilities. With this pension contribution, we will have contributed a total of $600 million to pension obligations over the past two years. And when combined with asset returns, improved the funded status of our pension from 48% in 2008, to 87% at the end of 2010. We used the balance of the debt proceeds approximately $285 million to fund a portion of the payment required for the purchase of the Boston Generating assets. Looking ahead, despite of depressed commodity prices, Constellation expects to have an FFO-to-debt ratio north of 30% in 2012, with further improvement in 2013 and beyond. Over the next two years, we hope to achieve a stable BBB or equivalent rating from all three major rating agencies. Importantly, given our current projections, we believe our metrics support incremental debt capacity starting in 2013. Turning now to Slide 15 to discuss earnings guidance. As Mayo mentioned, we're maintaining our previously disclosed guidance ranges of $3.10 to $3.40 per share for 2011, and $2.40 to $2.70 per share for 2012. Let me now take a moment to walk you through our segment level estimates and the key drivers behind each. At BGE, we're expecting to earn between $0.60 and $0.80 per share in 2011. In 2012, we forecast this segment to earn $0.85 to $1.05 per share. Earnings growth for BGE is driven by increasing rate base from our planned capital investments and future rate cases. Our generation earnings guidance range for 2011 is $0.80 to $1 per share, an increase from the $0.60 to $0.80 per share that we had shown last quarter. The difference is driven by the inclusion of the Boston Generating assets. This acquisition has increased EPS and has also further levered Constellation to expanding heat rates. In 2012, we were considerably more open than most, we're forecasting $0.15 to $0.35 per share. This outlook reflects the current forward commodity curve, one that we believe does not fully reflect the impact of new potential environmental standards and plant retirements. Any improvement, relative to the current forward curve would result in higher earnings for this segment. We expect our NewEnergy segment to earn between $0.90 and $1.10 per share in 2011, and $1.25 to $1.45 per share in 2012. We have shown you the detail of this outlook on Slide 13. And as you can see, we're forecasting higher gross margins for our customer, power and gas operation, primarily driven by higher volumes and better retention rates and increasing product sales to customers from our customer services and solutions operation. Before turning to talk about 2013, let me comment on the unexpected ice storm in Texas that occurred earlier this week. This storm negatively impacted many generators and load-serving entities, including ourselves. Power prices rose to extreme levels, as high as $3,000 per megawatt hour. These types of events illustrate the reason why our business in our margins for assuming supply and other risks on behalf of our customers. Importantly, while the costs impact of this extreme event creates a headwind for us in 2011, earnings ranges intended to take these types of events into account. As we look to 2013, we've previously stated that we expect earnings to improve to more than $3 per share. Through our segment-level disclosure, you can see that we're forecasting growth from our competitive businesses. We expect NewEnergy to leverage its platform and drive greater earnings and profitability. With our unified sales force, we expect to increase sales of commodity and non-commodity-based products. Our Generation segment, even assuming the current depressed commodity curve, is expected to benefit in 2013 from higher capacity prices in Southwest MAAC. At BGE, earnings are forecasted to improve as we earn returns from the increased capital spending and corresponding rate base growth. With that, I'd like to turn the call over to Mayo who will provide some closing remarks.
Mayo Shattuck: Thanks, Jack. So in 2010, we took advantage of growth opportunities, both organically and through acquisitions. As we look forward in 2011 and beyond, we expect to grow in each of our business segments. As we've discussed in 2010, we acquired generating assets and funded these acquisitions with excess cash on hand. Looking forward, we continue to pursue attractive opportunities to further expand our physical generation fleet in regions such as ERCOT, where the load we serve is greater than the amount of physical generation we own or contract. This approach to our generation in load-serving businesses and competitive market should drive greater efficiency in terms of capital requirements and realized earnings and cash flow, sustaining a balanced earnings model. We believe that we'll be able to fund these acquisitions by accessing the equity and debt markets. We will continue to be a leading supplier of power and gas to retail and wholesale customers. We're expanding our offerings to include more innovative products and services that help meet customers' financial objectives, energy efficiency targets and carbon footprint reduction goals. We believe that these additional offerings will strengthen and deepen our customer relationships and provide us with additional sources of non-commodity-based earnings. We are increasing our capital spending program at BGE, investing in liability and energy efficiency. Our Smart Grid program is just one example of this increased spending commitment. Respectively, this increase in capital spending should grow the utilities rate base and its earnings. Finally, Constellation is committed to further streamlining its businesses, making Constellation a leaner, focused company poised for growth. Aggressive pursuit of cost savings and capital efficiency, as well as a balanced asset-backed investment strategy is key to our continued competitiveness. With that, I'll turn the presentation over for questions and ask the operator to open it up. Operator?
Operator: [Operator Instructions] And our first question comes from Angie Storozynski with Macquarie Capital.
Angie Storozynski - Macquarie Research: The growth in the NewEnergy business. You're not providing any more the split between retail and wholesale. Should we assume that the growth since the third quarter is everything in retail?
Mayo Shattuck: Kathy Hyle is here and I'll have her address that.
Kathleen Hyle: So the growth in the fourth quarter was primarily retail and across the Power business in the fourth quarter.
Angie Storozynski - Macquarie Research: But I am asking about the forward-looking volume.
Kathleen Hyle: For forward-looking, there's a half a dozen things that are driving that group. One is the markets are growing, so we talked about Pennsylvania, Ohio, Illinois, Michigan, Caps, and maybe Arizona. KEMA, put out a retail energy outlook published in late January and they state that they expect the '10 to '11 period to be one of the largest growth periods for competitive power sales and we certainly have seen that where we've seen volume growth of over 30% year-over-year in 2010, and we kind of expect to see 2011 levels to be very good. Second issue is we've got this national platform that is different than anyone else and we can really drive growth through that national platform. As Jack mentioned, for the first time, we truly have a unified sales force. We've got -- we're selling commodities with one sales force. We've got products specialists, We've got quotas and our compensation is aligned to those expectations. With a scalable model, we've completed in 2010, our systems integration. We've got one system and we really are on the brink of being able to realize true scalability. We've got the breadth of our product offerings, so with Solar, Energy Efficiency, Demand response, Information Management, that allows us to deepen our customer relationships and that drives renewal rates and profitability. And lastly, we are supporting all of this with investment dollars for greater training, education and marketing support. So that's really the fundamental reasons why we're seeing the growth in the business, Angie.
Angie Storozynski - Macquarie Research: Yes, but I was actually asking if this is retail volumes or is it wholesale volumes?
Kathleen Hyle: Primarily retail volumes.
Angie Storozynski - Macquarie Research: And similar drivers for the pickup in gas volumes?
Kathleen Hyle: Yes.
Angie Storozynski - Macquarie Research: I understand that we're having a lot of uncertainty as to what happens with PJM capacity prices. But you are providing a disclosure of your capacity revenues for 2014. Could you tell us what kind of assumptions do you have behind those numbers?
Jonathan Thayer: Sure, Angie, this is Jack. We do anticipate and we include in here our fundamental view that capacity prices will decline in the '14, '15 auctions in Southwest MAAC relative to the '13, '14 planning years capacity price clearing. And just as you think about a sensitivity to that, if prices were to go down by $10 million, that results in about $7 million gross margin hit in 2014 and about $11 million in '15. So as you recall, its back-end weighted to the '15 planning period. Obviously, if prices were to go up, then we would see the inverse of that happen.
Mayo Shattuck: Jack, just for clarification. The predicate was that if prices went down by $10.
Jonathan Thayer: That's correct. I was just trying to give the six delay.
Angie Storozynski - Macquarie Research: But what's already embedded in this assumption is a much lower number than last year's auction. Is that correct?
Jonathan Thayer: What's embedded is a lower number, but you'll recall that the impact of that is roughly five months of the year.
Angie Storozynski - Macquarie Research: I know, I mean, our calculations imply a significantly lower number embedded than your estimates, and that's why I was asking, But I'll follow-up offline.
Operator: Gregg Orrill with Barclays Capital.
Gregg Orrill - Barclays Capital: I was wondering if you could comment on the cash balance at the end of the year and how much you think you have potentially? Cash balance at the end of the year and how much you think you have available for acquisitions and outside the load region, specifically where you might look to deploy that?
Jonathan Thayer: Well, obviously with the close of the Boston Generating assets, we used a significant portion of that cash balance in the opening week of 2011. With respect to the cash on hand, as we've guided you before across the businesses, we'd like to keep roughly $600 million of cash on hand at any given time. As we do expect, the Quail Run facilities sale to close in generally the end of the first quarter, maybe early in the second quarter. But that would increase the cash balance by $180 million or so and we would look to use those cash proceeds to grow our business and that could be in the form of generating acquisitions or it could be growing the NewEnergy business.
Gregg Orrill - Barclays Capital: And maybe I missed it, but how much of the $0.23 mark-to-market was in the fourth quarter?
Jonathan Thayer: $0.10 of that mark-to-market was in the fourth quarter and will realize the offsetting position, primarily in 2011, but some '12 and '13.
Operator: Brian Chin with Citigroup.
Brian Chin - Citigroup Inc: Question on the collateral chart that you guys put in your presentation. Is that intended to include Boston GenCo or no?
Jonathan Thayer: Yes, it does.
Brian Chin - Citigroup Inc: If I compare the collateral chart versus the prior quarter's collateral chart, it doesn't look like there's a whole lot of movement in necessary collateral positions. Should we have expected some change given the acquisition of Boston GenCo there? Or is that not right?
Jonathan Thayer: I would say, Brian, you have sort of two offsetting moves. One, obviously we do add the Boston Generating facilities, but prices have gone down. Therefore, as we calculate in that lower-priced environment, the benefit from generating capacity and offsetting collateral postings or the potential need to post in extreme events goes down.
Brian Chin - Citigroup Inc: And then just following up on the capacity price commentary. Is it the view that capacity prices should be lower for your portfolio because of transmission line capacity and convergence of prices between Southwest MAAC and RTO? Or is there some other issue that you guys are expecting?
Jonathan Thayer: I think it's more fundamentally the demand statistics that have come out from PJM and their recent guidance are lower. That's offset in part by a higher cost of new entry charge, but that clearly doesn't make up for the difference.
Brian Chin - Citigroup Inc: So then do you expect Southwest MAAC to clear separately from the MAAC and RTO regions, or no?
Jonathan Thayer: We do expect more impact in MAAC than we do in Southwest MAAC.
Mayo Shattuck: I might just add to that, that the modesty bearish signals were obviously the load forecasts went down and there was also increased transfer limits into MAAC. And on the other hand, sort of the question marks that will sort itself out through the auction would be unknown, coal retirements, what the DR bids will be and then the bidding strategies from the other companies. So I think on balance, this is like a little bit of a forecasting game that we don't play out publicly, but those are probably the most important variables that will realize themselves when we get the answer.
Operator: Ameet Thakkar with Bank of America Merrill Lynch.
Ameet Thakkar - BofA Merrill Lynch: I don't want to belabor, I guess, the capacity discussion, but I was looking at Slide 32, and you guys have a footnote there that says -- I guess it says, reflects clearing prices 2013, '14 only. Just so I'm clear, the '14 generation EBITDA or gross margin you provided, does that assume that capacity prices are flat? Or as Jack mentioned, you guys are assuming a lower price reflecting your fundamental view?
Jonathan Thayer: I'd say, Ameet, on 32, it's really -- this is just for presentation sake. This is not the number that is included in our generation hedged disclosure.
Ameet Thakkar - BofA Merrill Lynch: And then just real quick on, I guess, the retail gas growth. I think you guys kind of highlighted some of the states where you're seeing increases in switching et cetera on the power side. Is it similar on the gas side, or are there other areas that we should kind of focus on for describing that growth?
Kathleen Hyle: This is Kathy Hyle. It is similar on the gas side, but really one of the more important things really is the unified sales force and we're getting one sales force that's truly selling both. Larger power sales force now has the ability to sell gas.
Ameet Thakkar - BofA Merrill Lynch: I noticed that you guys didn't provide, I guess, the gross margin on $1 dollar per megawatt hour basis on retail. But you did discuss some of the drivers; higher volume, higher retention rates. I guess should we assume that, I guess, gross margins have kind of -- on a per unit basis are kind of flat and you're just really driving this by higher retention and higher volume?
Kathleen Hyle: Yes, we have given you ranges, 5% to 7% for retail, 2% to 4% for wholesale. We certainly expect to be within those ranges over our planning period.
Operator: Dan Eggers with Credit Suisse.
Dan Eggers - Crédit Suisse AG: As you guys look at kind of the 2012 open position hedging and then kind of your point of view in the market, how should we think about ratably heading into '12 and '13 over the course of this year? And are there metrics we should be paying attention to as far as free cash flow or coverage metrics that will affect how you guys put on positions?
Jonathan Thayer: Dan, as you know, we sell the power from our generating fleet to our NewEnergy business, who in turn hedges externally. Typically in any given year, as we roll into a new year, so let's move forward to stay were at this time, next year in 2012. We would anticipate being anywhere from 80% to 100% hedged depending on our bullishness or bearishness on pricing. What we've seen certainly in the 2011 period as you get closer to the delivery year, the more fundamental physical elements of plants actually needing to make money to run have caused dark spreads to increase, as we've gotten closer to delivery, we'd anticipate similar occurrences in 2012 as we get closer.
Dan Eggers - Crédit Suisse AG: You talked about the idea of expressing a view with where you're hedged right now. How far off of what you’d be at normal run rate hedge are you guys, in the expression of your view? Or is the hedge percentage now is just kind of a natural hedging, so there is not a significant view being expressed in where you're hedged today?
Jonathan Thayer: I would say we are at the lower end of the range, which we'd be hedged for 2012. I generally like to about 60% to 80% hedged in the current year plus one, and we’re just right at the lower end of that range.
Dan Eggers - Crédit Suisse AG: Then I guess, Kathy, maybe you could talk to this a little bit. But extending a year on NewEnergy we see customer services and solutions with about 24% CAGR over the next three years from a growth perspective. Can you share a little bit of where you're seeing some of that scaling? And how much of it is the ability to grow into it with some of the new acquisitions, and how much of it is just deeper customer penetration?
Kathleen Hyle: It's primarily deeper customer penetration, although certainly the CPower acquisition gives us a formidable position with the demand response. But as we are seeing and you saw great results in the Solar business, where we sold 36 megawatts to customers this year; we expect that to continue. The Energy Efficiency has been a little bit slower in 2010 than we would like, but we're starting to feel very good about that ramping up and it really is just this breadth of product offerings that we're seeing in our customers and being able to penetrate those customers more deeply.
Dan Eggers - Crédit Suisse AG: When I look at the fact that O&M isn't moving in that process, should we be thinking that these businesses are kind of infinitely scalable from a profitability perspective? Or where are you getting the release on O&M on a multi-year basis?
Kathleen Hyle: We really are on the brink of scalability right now. I can't say enough about what it means to have us all, all the retail platform being on one system and the ability for us to really drive and leverage this business and you're going to start to see that over the next couple of years.
Operator: John Cohen with Morgan Stanley.
Jonathan Cohen - Morgan Stanley: Just PJM power prices had been rising kind of through the end of last year, which we think to some degree is due to strong eastern coal prices. Can you just talk a little bit about to what extent do you think the NYMEX quoted prices for cap reflect your true underlying economics for coal purchases? And also for your open gross margin in '12 and '13, when you're a little bit less hedged, what assumptions are you making in terms of coal pricing out there and also the coal composition, the coal mix, for the fleet?
Jonathan Thayer: Sure, John, as you know, we've seen both because of the Australian flooding, but also global demand for, as you mentioned, CAP coal coming out of China, India and other markets. We have seen Central App coal move higher roughly to $80 a ton. I think our expectation is that you will continue to see a healthy bid for coal in the market and that will elevate overall from a fundamental point of view overall power prices as coals on the margin and good portions of the day here in Southwest MAAC. With respect to our hedging statistics. If you look at our coal hedging, you can see that we're really trying to sustain more of the dark spread exposure as opposed to power price exposure. We're only 9% hedged in 2013, in this current environment where you do have higher prices and if there is the risk of potentially locking in higher-priced coal and exposing yourself to declining prices should that happen. Then obviously that increases the risk we're trying to manage that by appropriately aligning our fossil hedges and our coal hedges.
Jonathan Cohen - Morgan Stanley: But is your exposure on the coal side CAP pricing or can you blend in some higher sulfur Illinois Basin or PRB coals to kind of reduce your fuel costs?
Jonathan Thayer: It depends on the assets. Certainly, at our Brandon Shores and Keystone and Conemaugh facilities, those are the largest baseloads. We're primarily earning the Central App coal. We do have the ability to blend in at certain other facilities, PRB and other, and we can burn some Illinois Basin.
Jonathan Cohen - Morgan Stanley: I just wanted to hit on your comment about the tolling arrangements. Can you just comment on the structure of the two biggest ones, which are to clean energy plant and Calpine's York facilities? How would you suggest that we model those from both an earnings perspective and also from a valuation perspective?
Jonathan Thayer: Interestingly enough, I think, on a valuation perspective, let me start there. Obviously, this is a negative drag on earnings and to extent you're applying a multiple to something that looks more akin to debt, or a hedge, an underwater hedge that rolls off. I think you're probably overstating the negative impact on the overall earnings capabilities of the enterprise. The tolls themselves largely five-year deals where we have tolls where we deliver gas when we get the power. We have seen an uptick and you'll see this in our Generation stats, an uptick in our expectations of how much in Q4 we expect in terms of output. From those facilities, but nevertheless, certainly not at the heat rates that we would have expected in a much higher gas environment in 2008 when we entered into the long-dated contracts for them.
Operator: Neel Mitra with Simmons and Company.
Neel Mitra - Simmons & Company: On Slide 13, it looks like the 2012 gas load that you project to serve went up about 33 Bcf, and the customer power and gas gross margin went up about $71 million since the last update. And I was wondering what was driving the increase in gas load serve? Did you sign a contract, or is it a projection? And then second, if all of that $71 million is attributable to the new load or if power margins have come up since your last update?
Jonathan Thayer: Neel, I'd say on the gas side, as Kathy mentioned. As we sell -- as we increasingly sell gas and power through a unified sales force, our expectation is that we will pick up incremental sales. We also did enter into a new gas supply agreement that is more attractively priced. So we also believe that, that should also help us be more competitive in the markets. On the customer power and gas side, as we mentioned earlier in the presentation, we are investing significant dollars in growing our mass markets channels. And obviously those investment dollars in '11 really start to pull through in 2012, as we benefit from the growth of that business, as well as ideally market expansion as the Illinois Power Authority contract rolls off and that market opens up a as well as others.
Neel Mitra - Simmons & Company: And then Jack, on the operating expenses, excluding upstream gas, they're going up in 2011 and 2012 when the volumes aren't going up that much. Should we view the rising O&M in '11 and '12 as an investment for new contracts in '13 or 14? Or is it a true reflection of your operating expenses in '11 and 12?
Jonathan Thayer: Really would bifurcate that into two things. One, as we mentioned, this now includes the CPower acquisition, which obviously wouldn't show up in volumes, assets, demand response. So there is increased expense associated with the inclusion of that business. As you did reference and as I previously did, the investment dollars associated with marketing Constellation Electric, as a mass markets provider are the other key driver in the '11 and '12 increase. In terms of the overall scalability, the platform that we previously discussed, we continue to believe that, that is the key competitive advantage that we're just beginning to realize.
Neel Mitra - Simmons & Company: And then just really quickly on the way we should look at the NewEnergy business from a gross margin perspective of $5 to $7 a megawatt hour and ROE of 11% to 14%, do those metrics still apply? Or should we be looking at it differently in terms of profitability?
Jonathan Thayer: I tend to be an EBITDA person myself. I think as we talked previously, gross margin depending on the customer class, if you're earning $5 to $7 from a residential retail customer that’s obviously not that great. If you're earning it from someone like Verizon, that can be fantastic. So we don't believe the gross margin is really a good measure of the overall profitability of each customer relationship, which in part is why we went to this level of disclosure and re-segmented the business. So I think from our end, if you look at the analyst community, there's a range of values that's applied to the EBITDA in the business. I would say our hope is as we shift on more bundled non-commodity-driven sale right now, we're about 13%. Our goal would be to get about 20% of our overall sales being from non-commodity-related activities. I guess the high end of the street is probably 6x EBITDA multiple in that business. If we are contracting for 20-year solar arrangements with our customers and long-dated energy efficiency relationships and automated load control that makes it a very sticky relationship with our customer. We believe that as an annuity-like and a highly-recurring business, where we are providing our customers with very valuable services that can't get elsewhere on a bundled basis. And we think that should merit a higher multiple.
Mayo Shattuck: All right. Well, thank you all. We'll expect to have you all online in another quarter, but we'll see you up in the road during the course of the quarter. Thanks all very much.
Operator: Thank you for participating on today's conference call. You may disconnect at this time.